Operator: Welcome everyone. With me on the call today are John Evans, our CEO and Ricardo Rosa, our CFO. The results press release is available to download on our website, along with the presentation slides that we'll be referring to during today's call. I may remind you that this call includes forward-looking statements that reflects our currencies and are subject to risks, uncertainties and assumptions. Similar wording is also included in our press release. I'll now turn the call over to John.
John Evans: Thank you, and good afternoon, everyone. I'll start with highlights from the second quarter before passing over to Ricardo to cover the financial results. Turning to Slide 3, revenues improved 59% year-on-year to $1.2 billion driven by both renewables and Subsea and conventional. But our underlying adjusted EBITDA margins fell to 7.5%. Nevertheless, at the end of the quarter, and after paying dividends of $72 million, our balance sheet remains strong, with $390 million of cash and equivalents and net debt of $39 million. Following the high level of vessel transits, we reported in the first quarter, our key enabling vessels were working in the second quarter, and utilization of our active fleet increased to 82%. Whilst we faced challenges in Taiwan, we made good operational progress on a number of projects, including Seagreen. We had a strong quarter for order intake, resulting in a book-to-bill of 1.6. Finally, just after the quarter-end, we announced the combination of our renewables business unit with OHT. Turning to Slide 4, and our operational highlights. Despite the challenges posed by China's strict COVID-19 restrictions, the Lingshui project was successfully completed ahead of schedule by the Seven Borealis and Seven Eagle. In Norway for the Hod project, we completed fabrication of the world's first mechanically lined pipeline based on CLOV technology. Meanwhile, Seven Arctic installed umbilicals on Ærfugl Phase 2 and Seven Navica made progress installing gas pipelines on Johan Sverdrup Phase 2. Activity remained high in the Gulf of Mexico on the installation phases of Manuel, King's Quay and Mad Dog 2. Seven Navica was deployed to the U.S. to accommodate the rescheduling of some work from the Seven Vega meaning we incurred some extra cost to keep project deliveries on track. In Australia, Seven Oceans spent the quarter installing pipelines for the Julimar 2 Phase project whilst in Angola the fabrication of top sites and jacket for the SLGC project is ahead of plan at the Sonamet yard. The PLSVs underpinned a solid performance and contribution from Brazil. Turning to the Renewables business unit, in Taiwan, progress of the Seaway Yudin was impacted by restrictions imposed by the government to control the spread of COVID-19. In addition, conditions of the worksite and changes in scope of the project hampered progress. We're in negotiations to recover incremental costs from our clients in accordance with contractual terms. Elsewhere in renewables, we continue to work on the Seagreen project, where the first five jackets began their transit from China to Europe, a further 10 jackets were loaded out from China and the UAE in July, and the fabrication of the remaining 99 jackets is running according to plan. Good progress was also made in the U.K. on the Hornsea 2 project on which Seaway Aimery, Seaway Moxie and the Simar Esperança were fully utilized during the quarter. Turning to Slide 5, we ended the second quarter with a backlog of $6.8 billion, up 13% from the first quarter this year. During the quarter, we announced two large awards in Brazil, Bacalhau and Mero 3 and including unannounced awards and escalations, we achieved a book-to-bill ratio of 1.6 times. We have good visibility on the revenue for the remainder of 2021 with $2.7 billion still to be executed. And now I'll pass over to Ricardo to run through the financial results in more detail.
Ricardo Rosa: Thank you, John and good afternoon everyone. Slide 6 shows our income statement highlights. Second quarter revenue of $1.2 billion reflected higher levels of activity in both the Subsea and conventional and renewables business units. Adjusted EBITDA of $90 million, after incurring net costs associated with COVID-19 of approximately $4 million was up from a loss of $9 million in the prior-year quarter. The adjusted EBITDA margin was 7.5%. This improvement largely reflects the absence of the restructuring charge of $104 million that was recorded in Q2 2020. The underlying margin, excluding items relating to the restructuring provision declined year-on-year as a consequence of continued delays and challenges affecting renewables projects in Taiwan, as well as reduced margins in Subsea and conventional. The net loss for the quarter was $13 million. Turning to Slide 7 for additional details of the income statement, administrative expenses improved by $12 million against the prior-year period, reflecting the absence of restructuring costs with underlying expenses remaining in line. The depreciation and amortization charge was stable at $114 million compared to the prior-year quarter with declines in part driven by prior-year impairments, offsetting the impact of the new bill Seven Vega and the converted Seven Phoenix. The quarter also benefited from the absence of impairment charges against property, plant and equipment, and right of used assets totaling $229 million, and goodwill of $578 million, which impacted the prior-year quarter. The net operating loss of $28 million in the second quarter included a credit of $11 million relating to downward revisions to the cost of the group's resizing program. The latter follows a significant improvement in the outlook for the industry, since we first introduced the cost reduction plan in the second quarter of 2020. To accommodate a higher level of tendering and engineering activity, combined with improved vessel utilization throughout the year, Subsea 7's workforce is now expected on average to be approximately 2,000 more than forecast in the downsizing plan. However, given the phasing of our current projects and the timing of new orders, plans to reduce the size of the active fleet in 2022 remain in place. The net loss was $13 million after a $15 million tax credit. On Slide 8, we summarize the performance of our operating business units. Subsea and conventional business units generated $863 million of revenue in the second quarter, 24% higher than the prior-year period, mainly due to improved activity in Norway, Saudi Arabia and China. Renewables revenue was $315 million, a near five-fold increase compared to the prior-year, mainly driven by the Seagreen and the Hornsea 2 projects. We recorded $20 million in revenue in corporate representing the contribution from Xodus and 4Subsea, our autonomous subsidiaries. Subsea and conventional recorded a $10 million net operating loss in the quarter compared to an underlying net operating income of $14 million in the second quarter of 2020. This loss is due to a number of factors it will reflects the early stage of progress of the 2021 offshore campaigns relating to work one at low margin in the competitive environment of 2019 and 2020. And secondly, we incurred extra costs associated with the transfer of some work from Seven Vega to Seven Navica. The net operating loss of the renewables business unit was $32 million, a deterioration of $6 million from the first quarter 2020. Progress on Seagreen and Hornsea 2 continue this plan, but was offset by the issues that John has discussed regarding the execution of work in Taiwan. As John has mentioned, we are in negotiations to recover these costs from our client. In the corporate business unit, net operating income of $14 million included the $11 million credit I have previously highlighted. Slide 9 shows our cash flow waterfall chart for the quarter. Net cash generated from operating activities was $15 million after incurring a $48 million adverse movement in net working capital, driven largely by increased activity in the Middle East, and the timing of milestone payments from various other projects. This increase was partly offset by client receipts on a newly awarded project. The net working capital position is expected to improve in the second half of 2021 with milestone payments and final settlements expected on a number of projects. Capital expenditure was $34 million, including payments related to the conversion of Seaway Phoenix, a loan of $33 million to one of our non-consolidated joint ventures and the distribution of dividends, amounting to $72 million following approval by shareholders at the AGM in April. At the end of the quarter, we had $390 million in cash and cash equivalents, a reduction of $137 million since the end of March. We moved into a modest net debt position of $39 million, including lease liabilities of $232 million. To conclude, Slide 10 shows our guidance for the full-year. Despite the low margins reported in the first half of the year, our guidance for 2021 remains largely unchanged. We expect increased profitability in the second half to be driven by continued de-risking of projects as execution progresses, and commercial settlements with clients are achieved. Compared to 2020, managing COVID-19 has become a more complex challenge as we navigate the differing requirements of various host countries. It remains difficult to forecast the magnitude of our direct costs, net of client recoveries as well as the direct indirect impact on efficiency, offshore operations and the supply chain in general. However, absent COVID-19 we continue to anticipate revenue and adjusted EBITDA to be above 2020 levels with positive net operating income. I will now pass it back to John.
John Evans: Thank you, Ricardo. On slide 11, we have a summary of our strategy comprising the Subsea field of the future and a proactive participation in the energy transition. Today we'll take a closer look at the progress we've made in the second quarter in integrated SURF and SPS. I will briefly revisit our transaction with OHT. Turning to Slide 12. The Subsea integration alliances our venture with Schlumberger's OneSubsea business that integrates SPS and SURF into one seamless offering. The aim is to optimize field developments by integrating the engineering, combining procurement efforts and streamlining the installation of the entire Subsea solution. It also reduces the number of contract or interfaces for the clients and increases delivery and deployment assurance. This is a highly differentiated offering. And in the last couple of years, the SIA has become one of the two main players with an SPS SURF solution. Since its inception, the SIA has a very strong track record of winning Greenfield contracts. And since January 2020, we have won 68% of the market by revenue. In the second quarter, we added to our success with the award of Bacalhau and Hasselmus, but together prove the relevance of the alliance to both large Greenfields and smaller marginal fields. The pipeline of opportunities for integrated work remains strong. The SIA is the preferred supplier, the Scarborough and Ormen Lange III. And it's currently bidding Lapa Southwest, BMC-33 and Bay du Nord. Moving to Slide 13. And a quick recap on the combination we announced earlier this month of our renewables business unit with OHT. The aim of this transaction was twofold to reinforce a position as market leader in the offshore fixed wind industry, and to unlock value associated with renewables for shareholders of Subsea 7. One of the main drivers for the deal was the sharp ramp up and activity forecast from 2025. And it's shown in the chart on the right. This has become more tangible with higher levels of tendering that we expected and an acceleration of projects, especially in the U.S. The combination creates a company with an enhanced fleet of vessels, including capabilities for turbines, foundations, cable installation, as well as heavy transportation. This expanded toolkit will enable us to win a greater number of integrated and EPCI contracts and take a larger share of the offshore fixed wind market. Although the deal and renewables may have come sooner than we may have predicted a year ago. It's indicative of the strengthening offshore wind market and a nimbleness to seize the opportunities when they arise. It reinforces Subsea 7 long held strategy to make selective investments that enhance our growth opportunities and accelerate value creation for Subsea 7 shareholders. On Slide 14, we have a view of the outlook for the coming 12 months for Subsea and on the following slide will address the opportunities in offshore wind. Although several contracts have been awarded to the industry in Brazil already this year, our tendering team remains very active, and we continue to work on a large number of prospects for both Petrobras and the IOCs. In Norway, engineering activity is high as operators work on sanctioning field developments in time to benefit from the country's tax incentive. This quarter, we announced contracts for Aker BPs', Kobra East Gekko and OKEA's Hasselmus project, but there are multiple projects still on the radar. Elsewhere, we see a cluster of new opportunities in West Africa with CLOV-3 and Begonia in Angola, Pecan in Ghana, and even Bonga Southwest, which marks a potentially important inflection point for activity in Nigeria. In Australia, we continue to work for opportunities for Scarborough and Jansz-Io. In the U.K., we have started the tendering process for the projects on the Northern Endurance Partnerships, the NEP. This is a partnership of BP, Eni, Equinor, Shell, Total Energy's and National Grid to develop offshore CO2 transport and storage infrastructure in the U.K., serving two hubs on T side and Humberside. Overall, we're seeing strong demand for certain vessels in the Subsea and conventional from late 2023 onwards, and we're becoming increasingly optimistic about the pricing environments for new orders in that window. Turning to the next slide. In offshore wind, we continue to see good long-term opportunities in Europe and Asia. There is a long list of projects awaiting the next CFD round in the U.K., which is currently scheduled for early 2022. We have introduced new prospects in Germany, as well as Poland, where our renewables business unit opened an office earlier this month. Finally, tendering for projects in the U.S. was accelerated with a glowing list of opportunities that should be awarded from late 2021 or early 2022 onwards. To wrap up, we'll turn to Slide 16. Although we had a cash outflow in the second quarter after paying our latest dividend, our balance sheet remains strong with net debt, including lease liabilities of just $39 million and liquidity of over a billion dollars. We have a growing backlog and very active tendering pipeline in the Subsea in conventional with early signs of an improved pricing environment for new awards. In renewables, we believe we are creating a business with OHT that will enhance and accelerate value creation in offshore fixed wind for our shareholders. While at Subsea 7, we continue to push ahead with a nascent floating wind business. Overall, our confidence in the long-term outlook has increased for both of our business units, we're optimistic about the range of opportunities for the group. And now we're happy to take your questions.
Operator: Ladies and gentlemen, we'll now begin the question-and-answer session. [Operator Instructions] We have the first question from the line of Michael Alsford. Please go ahead. Your line is open.
Michael Alsford: Yes, thanks and good afternoon. I've got just question first on the renewables business. I was wondering, with the second quarter result was particularly weak. I just wonder whether you could maybe try to pull apart the moving parts, how much is relating to the losses relating to Taiwan that you've booked in 2Q, maybe can you talk a little bit about the underlying performance? Are we seeing better margin capture on the broader portfolio of projects that you're executing on? That was my first question, please. Thanks.
John Evans: Yes, Michael. Thank you. Yes, the performance of the underlying projects, excluding Taiwan are satisfactory for us. We make good projects on Hornsea 2, good project performance on that one. Certainly, good performance continues on Seagreen. We talked on my prepared remarks about the preparation for the offshore campaign this year. So underneath it, we have a good business there. Taiwan is the main cause of the challenge. And as I discussed in the prepared remarks, it's a combination of the COVID restrictions that have been imposed by the Taiwanese government, which from a middle of May effectively locked down the entire country. And that has meant that changing crews and restocking our assets has become harder and harder as time moves on. We have effectively ceased to work on our project since the middle of July, because we cannot change the crews out. And we would expect to restart work in August, subject to the Taiwanese authorities providing Visas for our crews. So it's pretty much all around Taiwan and allowing that country to unlock, to add a bit of complexity, we also have some different conditions out there, and some changes to our scopes, which also need to be managed with our client. But that into the nutshell is the situation with our renewables business at the moment.
Michael Alsford: Thanks. And then just a follow-up on the Subsea business. You mentioned about the high market share of awards from the Integrated Alliance. But I'm just wondering, should that maybe worry us and translate into therefore a lower margin on those projects, have you been bidding more aggressively to win that kind of work because clearly the Subsea margin is also weak in the quarter, thanks.
John Evans: Yes, the margin in the quarter reflects the work that we're liquidating at the moment. The work that we have announced will be liquidated later in the timescale. So for us, it's about the balance of the work that we've got. The other thing I think to remember in this quarter is we've just started the offshore activity on a number of projects, once we liquidate those projects, which we should do through quarter three and quarter four, we'll have an opportunity to look at our contingencies and allowances in those projects and also, we would have an opportunity to have a discussion with our clients as we settle our final accounts on each of those projects. So again I think it's more about the timing and as we said, we're not a very good quarter company, and we're comfortable with where we think the year is heading.
Michael Alsford: Okay, thanks gentlemen. I'll hand it back.
Operator: Thank you for your question. The next question is from the line of Kevin Roger from Kepler Cheuvreux. Please go ahead. Your line is open.
Kevin Roger: Yes, good afternoon. Thanks for taking the question. Sorry for that. I was wondering if you can make a precise the magnitude of the loss that you booked in Taiwan, maybe you can give us kind of guidance, as a follow-up on the question that was just asked. And the second one is related to the damage. So two question, one if I can, the level of national bills remains quite important. So should we expect the same kind of activity for the upcoming quarters and based on that, I'm just looking at the orders and based on that, would you say that it's likely that you will, like say, outpace your intake of 2020 in 2021, regarding your drawn pipeline?
John Evans: So thank you, Kevin, a number of questions one way for me, let me take them one by one. We don't give specific numbers on individual projects, as we're in a number of discussions with our clients on that. But I think it's fair to say that what we have done is to forecast the last completion on that project considering the circumstances that we have in front of us today, we have allowed for what we believe, we can recover from our clients. And we've also allowed for some of the areas that we may not be so sure, we can recover from our clients on that work, considering the complexity of the changes in law and such, like that's happening in Taiwan at the moment. So that's the way we've looked at it in terms of where we're at, as a company at the moment. In terms of the commercial dynamic for the second half of the year, you're correct that our business involves escalations to our current contracts and that can be through the form of variation orders or amendments to our contracts. As we said, I think in Ricardo's prepared remarks, we expect to see the benefit of some of those coming through in the second quarter and we remain comfortable with what the year-end looks like for us. In terms of order intake, we see a good pace for order intake in the market at the moment. And I think on a previous call, I was asked whether or not we would feel comfortable that we can read our book-to-bill for the year of over one. And I think we can say that we're comfortable that we should be able to achieve that this year, just as usual subject to our clients timing of awards, but in the discussions, we're having at the moment with the projects that I see fitting into place there. I think that is a reasonably clear intent on our part.
Kevin Roger: Okay, perfect. Thanks, have a good day.
John Evans: Thank you.
Operator: Thank you for your question. The next question came from the line of Vlad Sergievskii from Bank of America. Please go ahead. Your line is open.
Vlad Sergievskii: Yes, good afternoon, and thanks for taking my three questions. The first one is on the backlog based on the phrasing you guys provided to us, revenues this year to the close $5 million. But at the same time backlog for execution next year currently stands about $1 billion less than it was 12 months ago for execution in '21. In that sense, is there a scenario which could help you to avoid a significant revenue contraction next year, compared to obviously very strong this one, the second one is probably an accounting question to Ricardo on contract assets. So we obviously have seen a pretty big global contract this quarter. And this is normally not what we would provide, could you shed some light on what drove this increase and how do we expect it to develop from here and very lastly on COVID costs, obviously net COVID costs pretty low $4 million this quarter, it is primarily driven by the fact that corporations are getting more predictable and stay home, or you're just basically able to recover more of your move back to offset that. Thanks very much.
John Evans: Thank you, Vlad, if I take COVID and the backlog and I'll ask Ricardo to talk about our contract assets. If we look at COVID costs, we provide a net figure and net includes recoveries that we may have received from clients from previous quarters worth of activities where we incurred costs and recoveries that we have received this quarter from that. Ricardo said it in his prepared remarks have actually seen quite a bit of complexity in each different region that we're working in the moment on our COVID costs. And here we're putting our direct costs in. So things like Taiwan where your efficiency goes down and down and down is not directly put into these accounts. Whereas our quarantine costs and such like and people standing by in the testing costs are in the direct costs here. So COVID is we all have to be careful with COVID. It's complex, and we're working our way through and Taiwan is a great example, first wave no issue, second wave COVID no issue, third wave flowed the country completely. So we keep a very careful eye on that. In terms of our backlog. If we join the dots together in terms of backlog, what we see here is a pickup for work going offshore in late '23 and '24. And as Ricardo mentioned, we are sizing our fleet next year for the work that we will have, which means that we will reduce the size of our fleet to get it to be the right size. Conversely, we are hiring significant number of engineers and supply chain experts to come in to go through the lower margin procurement and supply chain phase of those projects that will happen in 2022. So an interesting sort of dynamic of change that's happening there in 2022. Maybe Ricardo, you can talk about the contract assets question that Vlad raised?
Ricardo Rosa: Good afternoon, Vlad. I think your question on contract assets is ties back to my prepared comments regarding working capital movements. Yes, our contract asset balance has increased. And this is linked, as I previously explained to factors such as the timing of milestone payments, progress on projects, the fact that where we have increased the activity in the Middle East, where one major client in particular is relatively slow in making payments. However, as I indicated, I'm optimistic that the working capital position, which is strongly affected by our contract asset balances will improve in the course of the second half as projects progress. And settlements take place with clients, particularly with respect to those that will be closing out in the course of the second half of this year.
Vlad Sergievskii: John, Ricardo, thanks very much.
Operator: Thank you for your question. Next question come from the line of Mark Wilson from Jefferies. Please go ahead. Your line is open.
Mark Wilson: Hi, good morning. I'd like to ask about the current margin and pricing dynamic you feel you're getting into the awards that you've winning, very good book-to-bill. But if we look back, the other comments for 2019 and 2020 is speaking to competitively priced contracts. Is there a step change in the pricing dynamic that you're putting into bids through this year? Thank you.
John Evans: Thank you, Mark. As I've said many times before, our pricing is taken on a project-by-project basis. We look at the circumstances of each bid that we put in, the more work that's awarded into the market for late '23, '24 and into '25. Absorbs capacity either ours or our competitors. And that will change the dynamic of each bid that we put in step-by-step as the year progresses. So we tend to look at each one on a case-by-case basis. How well we're positioned in a particular country, that particular client, that particular project. So that's the dynamic of really what's going on. And we can see that, as you can see from our outlook, we remain positive that there is quite a good outlook of prospects that are coming there. Near-term work in 2022 is competitive, but further out, it's improving. And that's what we're seeing in the market. And hence our comments that we are feeling more optimistic about the pricing that we'll see later on in the windows.
Mark Wilson: Okay. Thank you. If I go back to full-year 2019 you spoke to vessel availability, tightening for certain surf projects in '22 and '23. And today, we speak about certain pipelines from the late 2023. Would that suggest that projects have moved out in time order as additional capacity that has come into the industry to satisfy by 2022 offshore environment? Or do you think that is - that's now been bid and that can be a timing project would see some of these improved margins come through?
John Evans: Well, I think what we were talking in 2019, we haven't seen the oil price shock and the delay in the projects that we've seen. So this is basically a shift as a result of what's happened there, I think is the main thing. The projects that, we were preferred bidder on backlog in late '19. We had expected that to be awarded a year earlier than it eventually came to us. So is a whole timing shift I think in the market, that we're seeing their market that's been there, I think since the oil price crash in Q1 of 2020.
Mark Wilson: Okay. Thank you.
Operator: Thank you for the question. We have another question from the line of Sasikanth Chilukuru from Morgan Stanley. Please go ahead. Your line is open.
Sasikanth Chilukuru: Hi, thanks for taking my question. I just had the question on your adjusted EBITDA guidance for 2021, which is higher than 2020 is that $423 million. I look at the consensus numbers prior to the release, and it was around $550 million for EBITDA. I was just wondering if you could give some context on where you think your expectations are related to this - relative to this consensus figure. And how this has changed out with the 2Q results? Thanks.
John Evans: Sasi, good afternoon. Thanks for your question. I think the main takeaway here is that we have provided in our written and verbal comments here that we remain comfortable with this year. We know that if we were significantly out from consensus, we would need to declare up to the market. We've also said in our prepared remarks that we expect to see a stronger second half in terms of profitability on both sides of our business. And that's where we stand here at the moment. So I think these are the building blocks that will provide the market for where we're at.
Sasikanth Chilukuru: Thank you.
Operator: Thank you for your question. [Operator Instructions] We take the next question from the line of Nik Konstantakis from Exane. Please go ahead.
Nik Konstantakis: Hi guys, thanks for taking the question. Apologies if this has been as I've been a little late. I wanted to ask two things. Just touching on the 2021 answer you just gave. And I want to ask whether that includes any assumption of recovery of some of the costs that you've incurred in Taiwan? And then secondly, what I'm thinking into next year, obviously less offshore work. How does otherwise the mix change? I'm just trying to understand what are the big moving parts when we're thinking about your margin into 2022? Again, apologies if this have been already asked.
Ricardo Rosa: Well Nik, as you know, we don't generally give guidance for the year ahead. And we'll do that a bit later. So and - we provide enough information in the pack here on the backlog and how it's broken down and the different years and such like, in terms of recovery for 2021. As we've stated earlier, we have put in what we believe our full life position on the Taiwanese project is including some recovery from our client is in that number. And so we will now go through a process of having a discussion with our client and having those discussions over the next few months. So at the moment, we're obliged under the accounting rules to put in what we believe is the position on that. So for this year, we look at the whole portfolio of projects. We see which projects are finishing, we see where we're at in terms of the phasing. And we remain comfortable with where we stand for the year.
Nik Konstantakis: Now clear. Thank you.
Operator: Thank you for your question. There are no further question at the moment.
John Evans: Well, thank you very much everybody. We appreciate your calls. I know it's a busy time of year. And thank you very much for everybody for joining today. We look forward to talking to you on our Q3 earnings call. Thanks a lot. Good bye.